Operator: Greetings and welcome to the Kulicke & Soffa Second Fiscal Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Joseph Elgindy, Director of Investor Relations and Strategic Planning. Thank you sir, you may begin.
Joseph Elgindy: Thank you, Christine. Welcome everyone to Kulicke & Soffa's fiscal 2015 second quarter conference call. Joining us on the call today are Bruno Guilmart, President and CEO and Jonathan Chou, Senior Vice President and CFO. Both are available for Q&A after the prepared comments. For those of you who have not received a copy of today’s results the release as well as our latest Investor Presentation are both available in the Investor Relations section of our website at kns.com. In addition to historical statements, today’s remarks will contain statements relating to future events and our future results. These statements are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a complete discussion of the risks associated with Kulicke & Soffa that could affect our future results and financial condition. Please refer to our SEC filings, specifically the 10-K for the year ended September 27, 2014 and our other recent SEC filings. I would now like to turn the call over to Mr. Bruno Guilmart. Bruno, please go ahead.
Bruno Guilmart: Thank you, Joe and thank you all for joining our call today. I am pleased to announce we ended the March quarter with $125 million of revenue which rather than doubled our guidance rangeand represented 35%sequential growth.Demand for equipment and services were weighted towards the back half of our fiscal year as it is usually the case of our second fiscal year due to the Chinese New Year holidays. Considering these slight demand as well as our ongoing investments in new product developments we were still able to generate $7.9 million of net income. I will provide additional color on these initiatives as we go along. During the March quarter demand for provisions remain robust. From a high level this ongoing performance respect to continuation of many of the broader trends we’ve outlined in prior calls which has ongoing capacity additions and technology advancements across our traditional customer base. This trend is further supported by our exposure to higher-growth opportunities in end markets such as memory, mobility, connectivity devices and sensors. From a business line standpoint the ball bonder business was up 36% sequentially driven primarily by China-based sales, specific LED and lower pin count opportunities as well as continued demand from a broad mix of IBM and outside customers. March quarter ball bonder sales were overwhelmingly related towards our latest generation high performance IConn Plus ball bonder platform, which continues to serve the industry most challenging wire bonding application. Ball bonding wires, in the March quarter were approximately 67% of our total bonder sales. LED bonders during the March quarter represented about 8% of our wire bonder sales. Switching to wedge bonder, we launched new Assembléon solutions this past March which had further support to our already strong market position. We experienced a slight sequential reduction in sales during the March quarter the bonding market remains very strong and demand continues to be diversified across our wide customer base. In IConn LA we continue to push meaningful diversification opportunities in its core technology. Finally, the integration of our recently acquired advanced packaging mass-reflow business which we referenced going forward as APMR is progressing smoothly and according to our plan many collaborated projects has been identified. As you may recall this business is split between advanced semiconductor and advanced SMT equipment. With a material portion of these March quarter sales from advanced packaging equipment this business is clearly complementary and synergistic to our overall advanced packaging strategy. I will now turn the call over to Jonathan Chou for a more detailed financial review of the March quarter. Jonathan?
Jonathan Chou: Thank you, Bruno. My remarks today will only refer to GAAP results and will compare the March quarter to the December quarter. Net revenue for the quarter was $145 million. Gross margins were at 47.2% with $68.6 million of gross profit. Gross margins were down sequentially largely due to product mix. We generated $9.8 million of operating income, $7.9 million of net income and $0.10 of EPS. Our global engineering team did an excellent job executing key initiatives while managing costs. R&D came in at $23.2 million slightly below our previous expectations for the March quarter. We ended the March quarter with the total cash and investment position of $528.8 million from a diluted share standpoint this cash position is equivalent to $6.82 and our book value equivalent is $10.32. Working capital defined as account receivable plus inventory less accounts payable increased by $28.9 million to $175.2 million largely due to our recent acquisition. Our days calculation of better highlight our ongoing focus on working capital efficiency. From a DSO perspective our day sales outstanding decreased from 102 days to 93 days. Our days sales of inventory increased only slightly from 89 days to 90 days and days of accounts payable increased from 47 days to 50 days. Our effective tax rates for the quarter came in at 20.1% which is above our prior long-term guidance. This is primarily due to additional income book end higher tax jurisdictions, cash development related R&D expense from the U.S. to Singapore and valuation allowance consideration associated with carry forward tax losses from recent acquisitions. In the longer-term, we expect some additional movement in this tax rate resulting from further simplification of our operating and legal entity structure, shift in global demand patterns and effects related to our recent acquisition. Concerning these effects, we are currently anticipating our long-term effective tax rate to be around 15%. This concludes the financial review portion of our call. I will now turn the discussion back over to Bruno for the March quarters business outlook.
Bruno Guilmart: Thanks, Jonathan. In terms of our guidance for the June quarter were currently guiding in the $160 million to $170 million revenue range. We continued to make many progress and continue to invest in our advanced packaging and local reflow which we referenced to our APLR business, which is own organic advanced packaging business. R&D resources are being deployed to a variety of customers, projects with specific manufacturing process requirement. Our close partnerships with these customers continue to be a critical element validating our development efforts and programs. In parallel, the industry continues to make progress with this new and challenging advanced packaging processes. Fundamental manufacturing changes such as these take time and we continue to believe that the architecture and feature set to our thermos-compression platform will take many of other offerings will become the industry standard. We continue to be on track for introduction of our APAMA chip-to-substrate thermos-compression solution during the September 2015 Taiwan SEMICON show. The recent addition of Assembléon our Advanced Packaging Mass Reflow business line has several gaps in our product and solution line expanded our reach into new diversified application and markets and has opened the door for many more strategic and long-term opportunities as we go ahead. This concludes our prepared remarks. Operator, we will now be happy to take any questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Krish Sankar with Bank of America Merrill Lynch. Please proceed with your question.
Krish Sankar: Hi, thanks for taking my question. The first one is a housekeeping question, can you guys give us a breakdown between equipment and expendable tool revenues and also how much with Assembléon in the quarter?
Bruno Guilmart: Krish we don’t breakout the Assembléon equipment and expendable tools. Just hold on one second. I think while Jonathan looks for the numbers it is not materially different from the past it is less than 10% expendable tool volumes
Jonathan Chou: I would take 90,10 split.
Bruno Guilmart: Yes.
Krish Sankar: 90…
Jonathan Chou: 90% equipment and about 10%.
Krish Sankar: Gotcha and then is the Assembléon tracking was like what you had in the past which is running at a run rate of $20 million to $27 million on quarterly basis?
Bruno Guilmart: I'm sorry, what?
Krish Sankar: Is the Assembléon business tracking for your plans I think the expectation of this is going to be around $20 million to $27 million revenue run rate on a quarterly basis, is this somewhere in the ballpark?
Bruno Guilmart: Yes, it does except that as you’ve seen I mean the Assembléon selling in Europe and we continue to sell in euro at least for the time being and as you’ve seen the euro end of 2014 was in the 135 range and today it’s around 105 also. So in terms of dollars for us we are getting less dollars for equipment sales that mounted as – tracking in terms of dollars in the $20 million, so like we’re expecting I mean we are getting a little bit less dollars that we thought to remove it because of this exchange rate issue, but it’s not in the [indiscernible] you wanted it not really, really material.
Jonathan Chou: Yes, just to add one point Krish from the rest of the business we do sell U.S. dollars, so the overall net impact is just impact on the euro FX perspective.
Krish Sankar: Got it. Okay, that’s very helpful. And then also can you give us quick update on the status of the thermo-compression bonder and in terms of numbers of customer the date size, how is it progressing?
Bruno Guilmart: So on the term for thermo-compression bonder for this year it is I think estimated to be in the range of $30 million. Remember the numbers are correctly all in the range of about 30 machines, okay. The two types of bonders, the first type which is the chip to substrate is really and towards the memory modules and on these we have roughly four or five dual head machines already deployed at customers. We’ve also seen a sharp increase in demand for chip, some of bonder which goes into also memory application and it will also go into logic application, but I would say not the memory to about the memory stack types more sophisticated application which typically goes in infrastructure of telecommunication. So we started to accelerate the program and we have currently about three machines in deployments. And I would say by the end of the year, fiscal year total will have at the minimum total of 12 machines both chip to scale and chip to wafer deploy at customer around the world.
Krish Sankar: Got it, that’s very helpful. And then final question is how much buyback do you have?
Jonathan Chou: Since the launch of the program we brought back about $10 million of shares and we have $90 million to go.
Krish Sankar: Thank you very much.
Operator: Our next question comes from the line of Tom Diffely with D.A. Davidson. Please proceed with your question.
Thomas Diffely: Yes. Good morning, good afternoon. So when I look at the guide for the second quarter and striped out the acquisition, it looks like business is down about 20% from the year-over-year basis just curious what the differences are this year versus a year ago and what kind of the longer-term trends you are seeing just figure why about the business?
Bruno Guilmart: We guide for the third quarter.
Thomas Diffely: I’m sorry, yes. Second fiscal or the third fiscal quarter?
Bruno Guilmart: Yes, so it comes mainly from the ball bonder and we want to meet of really analyzing that business which is our core business in retail, we are trying to understand if it’s a fall in orders like we are seeing Jon is speaking in the overall semi industry or if it’s a more I would say linked through the technology move towards the smaller note which require flip chip, higher 20 flip chip and so now we have advanced packaging technology. What we know is that the small pin count especially QFN packaging all secret. Okay the problem is that being small pin count you did not sell as many ball bonders as you would for more complex application. So we are in the process of re-analyzing, are we coming to new worlds of the work bonder which is basically reaching finally this kind of plateau and entering more replacement market. It is the close market or is it something which is more technology driven and hence then we could have some tailwind as soon as the IOT devices are picking up significantly, because right now they are still recent things. And for us we definitely believe that the IOT will be give us some tailwinds they are contain basically all the 90% of the devices at least in and out IOT device contain wire bonded bonds. And here again when we talk about IOT I am talking about that the more complex type of IOT not the simple bracelets, reading your hobbies or the number of steps you’ve done okay. More the watch and the other more complex applications. So while waiting for that to pick up and that actually could be a good tailwind for us in terms of ball bonder units.
Thomas Diffely: Okay and then when you look at the mix itself in the fiscal third quarter are you continuing to see diversification of your end markets to the second and third tier players?
Bruno Guilmart: Yes, definitely we continue to see a diversification in customers, in application, wedge bonder we have the very significant break through in the battery applications with Australian machine so we do continue and we do continue to push for I would say second tier type of customers that more importantly, diversification of application in areas traditionally not reached through very well by ball bonders.
Thomas Diffely: Okay and then finally on the wedge bonder business it was down sequentially is that mainly seasonality it sounds like that’s a growing market overall longer-term basis.
Bruno Guilmart: It was most seasonality you will see that while we don’t give the breakdown, but we expect that market to do - continues to do well we had our six consecutive quarters of profitability and the application, battery applications I was talking about were regarding the wedge bonders and that could have quite significant repercussions and I’m sure you’ve recently read what’s up in the Internet space, but I mean we’re just talking about opportunities, but number of application that produced battery in a very different way that we’ve used them before and we have the perfect solution for that.
Thomas Diffely: Okay, good. And then Jonathan one for you real quick. What do you expect from the June quarter from an operating expense side and as Assembléon rolls in for full quarter?
Jonathan Chou: Yes, our fixed cost is now about $50 million in terms of fixed cost component and 68% variable, so you could calculate OpEx on that.
Thomas Diffely: Great. Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Craig Ellis with B. Riley. Please proceed with your question.
Craig Ellis: Thanks for taking the question, clarification on Assembléon currency dynamics side in the business. What is the seasonality of the business look like relative to your core business because, does it scale through the year or is there a different quarterly seasonal profile?
Bruno Guilmart: What we are seeing is slightly different seasonal profile that we’ve seen in the previous year. Typically, we tend - that’s why I’ve made my remarks earlier that we’re looking very much detail, what is happening exactly in ball bonders because typically our ball bonders tend to grow a lot more from us I mean third to second quarter fiscal and then typically continue to slightly grow in the first quarter of that two and then we start to the see the typical decline we see in our first quarter, which is the last quarter of the year where all the investments we made for the holiday season. So this year I would say it’s a little bit different, there is a lot of new technologies from a silicon perspective that has been launched earlier in some cases then obviously stated. The IOT markets has been – its still in it’s very much in its intimacy, the tablets also has been declining a fair amount, but on the other hand we are still very much linked through connectivity, mobility all these part of application smartphones and so on. This continues to do well, we actually had very good second quarter compared to the seasonal trend and so I want to take a little bit more time to analyze what exactly is going on our core business here. This is a technology change which is accelerating faster in which case we have a solution with all new acquisition because now we do have flip chip solution and we have also two projects already are doing in this area and also in the panel, which we already have, but which to be improved on in that case may require I would say a slight adjustments of our roadmap and product development cycle.
Craig Ellis: Thanks for that Bruno. On the Assembléon business is that business seasonally consistent with what you would normally expect from the Ball Bonder business where as the seasonal profile of the Assembléon are different then to normal season profile of Ball Bonders?
Bruno Guilmart: No it’s different from the Ball Bonder business I would call it a lot much stable business I look forward to see quarter-on-quarter violations that nowhere steep as you would see in the Ball Bonder product which are I would say almost our commodity products and that you personalize or customize three of the last layer of the fabrication process. While the machines have a much longer lead time and I’m sorry the Assembléon machines have a much longer lead time and I’ll customize pretty much from start. So each machine is really - for strategic customer hence you guys – you tend to have some situations that’s not good situations that you are looking for wire bonders.
Craig Ellis: Thank you.
Jonathan Chou: So the lead times are little longer for the Assembléon machine probably two or three times longer than the ball bonders, ball bonder is 9 to 11 weeks and Assembléon machines are about 30 weeks.
Craig Ellis: Okay, that’s helpful and then switching gears just to the guidance. In the middle of the income statement, helpful color on operating expense what about gross margin, what are the next gives and takes in gross margin and how should that perform sequentially?
Jonathan Chou: While we continue to aim for average of 45% gross margin for the total company and the APMR Assembléon business line, it is slightly lower, internal percentage we are looking through how we actually integrate and improve the margin profile over time. So this first year is obviously is that there is a lot of works being done, the longer term we want to continue to actually focus on achieving a 45% gross margin.
Craig Ellis: Okay, and then lastly just a clarification on the fiscal second quarter expenses, higher than what I was expecting was there anything on a one-off basis in SG&A whether it was related to the deal or otherwise?
Jonathan Chou: Yes, we certainly had a number of one-time expenses including the integration expenses related to the APAMA, we also have some R&D expenses as well in there, so we continue to going to manage our OpEx as I’ve mentioned earlier to Tom definitely that it is $50 million of asset fixed expense in terms of fixed cost now and about 6% to 8% of variable expense are going forward.
Craig Ellis: Thanks guys.
Bruno Guilmart: No problem, thank you. End of Q&A
Operator: Mr. Elgindy we have no further questions at this time. I would now like to turn the floor back over to you for additional or closing comments.
Joseph Elgindy: Thanks, Christine, and thank you all for the time today, as usual please feel free to follow up after today's call with any additional questions. Again thank you all for the time. Operator this concludes our call. Thank you.
Operator: Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.